Operator: Welcome to Neogen's Second Quarter Earnings Results Conference Call. My name is Sylvia and I’ll be operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions].  I will now turn the John Adent, CEO of the Neogen. Mr. Adent, you may begin.
John Adent : Thank you, Sylvia. Good morning and welcome to our regular quarterly conference call for investors and analysts. Today, we will be reporting on the second quarter of our 2020 fiscal year, which ended on November 30th. As usual, some of the statements made here today could be termed as forward-looking statements. These statements, of course, are subject to certain risks and uncertainties. The actual results may differ from those that we discuss today. The risks associated with our business are covered in part in the company's Form 10-K as filed with the Securities and Exchange Commission. In addition to those of you who are joining us by live telephone conference, we also welcome those of you joining us via the Internet. Following our prepared comments this morning, we will entertain questions from participants who have joined this live conference. I am joined this morning by our Chief Financial Officer, Steve Quinlan, who will provide more detail on our results for the quarter. Earlier today, Neogen issued a press release announcing the results of our second quarter. As stated in the release, our net income for the quarter was approximately $16.3 million or $0.31 a share, up slightly from the prior year quarter, when we were reported a $0.31 per share. Our year-to-date net income is approximately $31 million or $0.59 per share, down from the same period a year ago, when we reported $0.60 a share. Our revenue for the quarter were up 1% from our prior year to about $108 million. On a year-to-date basis, our revenues improved 1% to over $209 million.  We had a number of strong performances in the quarter at our international location, as our revenues from international sources grew 41% of our total revenues, up from 39% in the prior year's second quarter. However, like most American companies with significant international sales, Neogen continues to be adversely affected by the recent strength of the dollar against most other currencies. In a neutral currency environment, sales would have been approximately $1 million higher in the second quarter.  As we've previously stated, we believe the two-thirds of our growth potential exists outside of the U.S. We see significant opportunities throughout the more than 120 countries we have served in the past year. In some cases these opportunities come through meeting expanded regulatory requirements as with the recent introduction of our test for ergot alkaloids to meet expected new regulations in the European Union. Other, even more significant opportunities exist in meeting the needs of the expanding middle classes in China and India who are demanding the same high-quality food products available in other parts of the world. I just returned from visiting our teams in Australia. And despite the current difficult environment of extreme heat, fires and floods, they're really excited about numerous growth opportunities we have.  I also met with several customers and distributors to discuss new offerings that were developed specifically for the Australian market. In meeting after meeting, I saw our Neogen team is providing unique and viable solutions to help our customers meet their needs.  At this point, I'm going to turn it over to Steve for more detail on the quarter. Steve?
Steve Quinlan: Thanks, John, and welcome to everyone listening this morning. John has reported the overall sales and profit performance for the second quarter and first six months of our fiscal year. In the next few minutes I'll give you some color behind those results.  As John mentioned, we continue to be negatively impacted by currency fluctuations in the countries in which we operate. Revenues would have been $1 million higher for the quarter in a neutral currency environment with the euro 4% lower than this time last year and the pound 3% lower. On a positive note, the pound was 6% higher at the end of the second quarter than at the beginning of the quarter on optimism regarding a possible Brexit solution. The Brazilian real continues to hurt our comparative results as that currency was 6% lower than a year ago and the Aussie dollar was 5% lower. About $875,000 of that comparative revenue shortfall was in the Food Safety segment, as the majority of our international businesses report in through this segment.  Revenues for the Food Safety segment were $56.9 million in the second quarter of fiscal 2020, an increase of 6% compared to $53.7 million in last year’s second quarter. Our Brazilian food safety operations had a 15% increase in sales of diagnostic product, led by continued market share gains in aflatoxin sales during the country's corn harvest, and a 15% increase in dairy antibiotic test kit sales.  Additionally, we recorded a $900,000 non-recurring sale of insecticides to the Nicaraguan government and two smaller sales of insecticides totaling about $300,000 to Brazilian government agencies. Now these sales are non-recurring, in that they are tenders or bids that are won for a set period of time, with no assurance that the business will be put up for bid the next year. This business is somewhat opportunistic, and is what we characterize as a lumpy business, resulting in tough year-over-year comparison, but it is good, profitable business.  If you recall, we discussed at our first quarter call a $1 million sale in last year's first quarter, which did not repeat this year. Overall, our Brazilian business has achieved revenue growth of 20% in the quarter, even after taking into account a $700,000 sales shortfall from their loss of a forensic test kit customer we also talked about on the first quarter call. Our European operations had solid results for the quarter with revenues up 10% in local currency and growth across the entire product portfolio with particular strength in the culture media line, which is up 15%, a 9% increase in cleaners, disinfectants and vet instruments and a 48% increase in aflatoxin test kits due to increased business in an outbreak in Africa. This was a nice recovery off a fairly sluggish first quarter. Genomics revenues, which grew at a double-digit pace throughout 2019 and 30% in last year’s second quarter, rose 3% in the second quarter of this year in Europe. The 10% growth overall in Europe was reduced to 7% after currency conversion. Neogen Latinoamerica, our business based in Mexico City had strong 20% growth in sales of our food safety products with sales up across all of the diagnostic product line.  Sales of cleaners, disinfectants and rodenticides declined 15% due primarily to continued sluggish demand from our largest distributor in Central America. And this resulted in an overall increase in revenues of 5% for the quarter for this group. Our operations in China reported a revenue increase of 40% aided by increased sales of cleaners and disinfectants driven by increased awareness of the importance of biosecurity products to counter the African swine fever outbreak in that country. Our domestic food safety diagnostic business grew by 6% for the quarter with nice areas of growth within the business. Revenues for our industry leading product line to detect inadvertent allergen contamination, which includes diagnostic tests to determine the presence of milk, peanuts and processed soy among others, were up 17% domestically in the quarter. Our gliadin, egg and milk test kit sales were particularly strong, up 27%, 21% and [15%] [ph], respectively for the period. And we've continued to strengthen our allergen test kit portfolio and have seen commercial success with our recently introduced tests to detect coconut contamination, which grew nicely for the quarter. Our AccuPoint line, which is used to detect general sanitation and cleanliness in food processing environment, had a strong 21% increase in revenues during the quarter on strength in both equipment and disposable sampler sale. Year-to-date, this line is up 16%. Our domestic natural toxin product sales declined 7% compared to last year’s second quarter. This year's crop was planted late due to the severe spring weather and is not yet fully harvested, and has been relatively clean with only small pockets of DON outbreaks. Revenues for our test to detect the presence of antibiotics in milk declined by 30% in the quarter and are down 18% for the year-to-date, due primarily to lower demand from a large European distributor. And to address this loss in business which has been steadily occurring over the past few years, we've modified our contract with the distributor to make them non-exclusive and we'll begin direct sales in these markets in the third quarter. Our domestic culture media business which had declined 13% in the first quarter of this year, recovered somewhat to post a 2% gain for the quarter. Now there is still weakness in this market resulting from lower end market demand from a number of our larger customers, particularly those in animal vaccine production and orders have been pushed into the second half of the year. The Animal Safety segment continued to be adversely impacted by the trade impacts between the U.S. and China during the second quarter, and reported revenues of $50.9 million for the quarter, down 4% from the $53.3 million achieved in last year's second quarter.  There appear to be a truce called in the trade war near the end of the quarter, with an agreement signed to increase agricultural exports to China, as yet it's too soon to have seen positive impact on our market. Animal care products sold out of our Lexington, Kentucky-based manufacturing and distribution center such as small animal supplements, wound care and antibiotics, decreased 13% and vet instruments declined 10% for the quarter, primarily as a result of lower sales for our largest U.S. distributors due to lower end market demand and related destocking efforts by these distributors. Rodenticides sales declined 8% in the quarter, and insecticide revenues were down 30% for the same period, due primarily to lower rodent and insect pressure in certain areas of the country. Domestic cleaner and disinfectant sales also declined 14% during the quarter, due to reduced demand from our larger U.S. distributors as they worked to reduce their inventory level. Partially offsetting the weak market conditions in the majority of our animal safety markets was a robust 18% increase in service revenue at our domestic genomic testing and bio -- in our domestic genomic testing and bioinformatics business located in Lincoln, Nebraska; with market share gains in the companion animal parentage and wellness testing markets, which more than doubled during the quarter, a 21% increase in revenues to the porcine market and continued strength in the commercial beef and dairy cattle market. Worldwide, genomics revenues rose 17% with strong growth in the U.S., Australia and Canada offset by a slower growth in Europe. Gross margins were 47.3% for the quarter compared to 46.7% in last year's second quarter. Improved margins are due to a shift in mix towards food safety product, which has higher gross margins and margin improvements at our domestic genomics business resulting from a product mix shift toward higher margin companion animal services and efficiencies achieved with the higher volume. For the year-to-date, gross margins are at 47.4% versus 46.8% last year. Overall operating expenses were up 3% compared to last year's second quarter and 4% for the year-to-date. Sales and marketing expenses decreased 3% and are down 1% for the year-to-date from lower commissions, shipping and other variable expenses tied to revenues and a reduction in bad debt expense due to the reversal of reserves for collected receivable. General and administrative expenses rose 9% for the quarter, due primarily to increased non-cash stock-based compensation, higher legal and professional fees and increased depreciation expenses, resulting from our ongoing investments in information technology infrastructure. R&D expenses increased $615,000 or 19% over the prior year, as we continue development spending on a number of new products, which are scheduled to be launched in late fiscal 2020 or early 2021. The $3.8 million we spent this quarter is similar to the run rate for the past two quarters and this run rate will continue to be elevated throughout fiscal 2020. Operating income for the second quarter was $18.3 million, compared to $18.2 million in last year's second quarter. Expressed as a percent of revenues, operating income was 16.9%, compared to 17% last year. We recorded $1.3 million in interest income for the quarter, compared to $1 million last year, reflecting our higher cash and marketable securities balances and higher interest rates on those balances. Yields on our investments had dropped in this quarter compared to the first, due to the impact on fixed income investments from the fed lowering the prime rate three times this year. Foreign currency losses totaling $350,000 in the second quarter compares to $70,000 in the same period last year. Our pre-tax profit of $19.2 million compares to $19.7 million in last year's second quarter. Our effective tax rate for the second quarter was 15.3% compared to 18.5% in last year's second quarter with a reduction in rate driven primarily by the recognition of tax benefits of $1.2 million from the exercise of stock option. In last year’s second quarter, those benefits totaled $484,000. As I've mentioned on previous calls and will continue to point out, the volume of action exercises, the strike price and the stock price at time of exercise and all result in large fluctuations in the effective tax rate for these comparative periods. On the balance sheet, our inventory levels of $86.4 million are essentially flat with year-end levels and we continue to work on improving our inventory turn. We generated $40.5 million on cash from operations during the first half the year and have invested $12.8 million of that in property, plant and equipment and other assets. Included in that total are investments in companies and technologies, which we believe will give us competitive edge going forward. I'll stop here to say that although the numbers were sluggish, we were encouraged that we were able to get back to growth in the Food Safety segment and also capitalized on some significant growth opportunities in the genomic business. We know what we need to do to return to growth in the rest of the animal protein markets we serve. Our more than 1,700 employees worldwide believe in our cause, are excited about our future and appreciate your support. At this point, I'll turn it back to John for further comments.
John Adent: Thanks, Steve. While we didn't meet all of our performance expectations for the quarter, I'm really optimistic about where we are going from here. First and foremost, Neogen is in the right markets helping our customers improve the safety of the worldwide food supply, the dynamic and growing market. And with our products and services that reach from behind the farm gate all the way to the dinner plate, we're uniquely positioned in that market. The demand for our products are only going to increase going forward. For example, I just read a report that stated more than 650 food products were recalled last year in the United States alone and where the leading causes might just be the easiest to prevent as food allergens. According to the report, undeclared allergens are the leading cause of U.S. food recalls, accounted for about 48% of the food recalls from the FDA, and 63% of the food pounds recalled by the USDA. In the next step it becomes even more alarming when you consider that roughly 11% of adults in the U.S. have a food allergy.  So we can do even more to help the global food industry to protect its consumers. We've recently signed up our first major users for Neogen Analytics product, a world class and safety and risk management system that will allow our customers to reduce their food safety risks. We believe combining Neogen Analytics with our leading food safety diagnostics, place a powerful combination that provides Neogen a distinctive competitive advantage. The success that we've had in developing and marketing food safety tests led to an almost overwhelming amount of data that our customers will sort through to protect their consumers and businesses. Our new platform will help our food safety diagnostic customers efficiently aggregate, analyze and act on all that data. We've also made recent advancements in the development of blockchain technology that's going to benefit our customers and their customers. As consumers are increasingly demanding transparency in the origin supply chain processes of the products they purchase, blockchain technology is being developed to deliver just that. For example, let's consider a production of premium beef products, our customers, a cattle rancher who's going to start with a DNA data produced by Neogen Analytics tests for an animal and then we're going to collect additional blocks of information on that animal which could include its health, its medical history, what it ate, its diet, the ranch environment, and other production variables. Information on that animal can then be shared with processors, retailers or even consumers who are seeking that level of transparency. Blockchain technology enables our customers to tell the story of their brand, mitigate the risks in their supply chains and as well as enhance our operational efficiencies.  We believe our markets are moving quickly toward more informed data-driven decisions and we're working to be at the movement’s forefront. As we work to improve and expand what we can offer our customers, we're also looking to acquire additional technologies and capabilities. Well, I'm not ready to announce anything yet we have an active acquisition program and a number of acquisition targets under investigation. As shown on our balance sheet we are perfectly positioned, there’s plenty of dry powder as Jim Herbert used to say to pursue any of our growth strategies going forward. But all I can do is encourage you today to stay tuned for upcoming announcements from us. I'm excited about our future and I look forward to stronger performances going forward.  Let me stop at this point. Entertain any questions from those of you who joined us on the call?
Operator: Thank you. Will now begin to question-and-answer session. [Operator Instructions]. And the first question comes from Paul Knight from Janney Montgomery. 
Paul Knight: Hi, John. Could you give us some granularity on these distributors? Specifically you mentioned on vet instruments and animal care within the animal safety market. Your distributors are destocking. Can you tell us what's going on with those distributors for them to take these kind of actions?
John Adent: Sure. So Paul I think when you look at some of the results as you've seen on move out and I saw Patterson results for livestock business was down 1. MWI's livestock business was down, their companion animals is up, but what matters to us is their livestock business. And what's happening is as their sales are slowing to their customers, distributor margins are very thin, they need to make sure they're controlling their operating working capital and they're forcing -- their management groups are looking at their businesses and they're tightening up their inventory days. And that's something that we've seen happen before when markets are a little soft, distributors tighten up inventory. When markets grow, they loosen up inventory. So that's what's happening on the animal safety side in the U.S. Steve also mentioned, Paul, distributor with our food safety product in Europe. And we worked with them for a long time. They're a good company. They just have not had the growth that we've seen across all of our other businesses for that same line. And we've been working with them to try to find ways to grow. And we ultimately sat down and worked out a solution. They're going to continue to be a distributor, but it's going to be on a non-exclusive basis.
Paul Knight: And this weak demand that they're facing, is it a commodity-driven event, is it the trade restrictions that they're seeing in the pork markets due to China? What do you think are those key factors? 
John Adent: It's -- I think it's profitability for the producer. You've got to look at it again by segmentation. I saw today exports for pork were actually up in the quarter, they're still down versus last year. But I saw a Tweet the other day that said watch out for big, big news on ag exports. So this could be something that would help those customers reopen an ag market specifically for pork. Dairy business is still interesting challenge. We continue to see smaller and smaller dairy farmers going out of business, which a number of cows are staying the same, it’s moving to larger farms, but that has an impact on how those type of entities spend money. So I think the thing to watch is really trying to understand what are the producers' profitabilities. I mean if they're making money, they tend to expand and grow. If they are losing money and it's a cash flow issue, even though they know it makes good economic sense to use our products, from a cash flow standpoint, they just tighten their belt.
Paul Knight: Okay. And then lastly on -- my last question would be the -- your cash and investments totaling $313 million, is your pipeline getting richer due to this blockchain and IT outlook that you have or what's your view on this building cash that isn’t being deployed of note?
A - John Adent: Paul you're talking to a guy that's just as disappointed as you about deploying cash. I mean I want to go and buy stuff. And we looked at -- in the last six months, we looked at 15 different businesses, and said no on 13. So we're shaking the trees, we're looking at opportunities, but we're still going to be judicious in what we want to buy. And I think it goes back to what Jim had talked about all along is do we understand it? Can we make it? Do we have a market for it? And those types of thing -- those questions still resonate as when we look at acquisition opportunities. So we are looking at some right now that are very exciting to us that answer yes to all three of those things and we're executing -- we are working to execute to get those deals done.
Operator: Our following question comes from Kevin Ellich from [Ace Research] [Ph].
Kevin Ellich: Just wondering with the African swine fever in China, you guys saw some pretty strong growth there. How much benefit do you see from increased sales of disinfectants and cleaners with biosecurity measures?
John Adent: We did see increased sales -- I know Steve is looking right now to see what that number was. So we are seeing that Kevin and I think that's going to continue as we can train the smaller customers to understand biosecurity. The larger swine guys in China understand biosecurity and that’s what we do really well with. The smaller backyard is harder, because those pigs are one common fence, touching noses and that's how that disease spreads really quickly through the backyards in China. So reaching that group is highly fragmented. You got to do a lot of dealers, it's a lot of training. So there's opportunity for that. But most of our growth has been with the large swine producer.
Kevin Ellich: While Steve looks that up, can you give us an update, do you think the spread has slowed a little bit or do you think we're still on pace like we've seen in the last six months?
John Adent: Kevin, I don't know. I haven't heard anything one way or the other. I mean I think we talked about this, I think it was last quarter or two quarters ago that we've seen some large guys repopulate and then get hit again, which is really devastating for them. But I haven't heard anything that's kind of changed what's happening over there. So -- and I think I would take that as a good thing, it doesn't seem like it's continuing to escalate, but it's been such a dramatic impact on losing half of their animals. You would think that losing half the animals, it would slow just from a numbers standpoint. Steve, do you have anything to add to that?
Steve Quinlan: Sure. Kevin that was about a $0.5 million. Now the only caveat there is that, it may not all be directly African swine fever related, it’s really biosecurity and the importance of having a clean environment to raise your animals. It’s not all directly going into the pork production market. 
Kevin Ellich: And then Steve while I got you, so sales and marketing expense is actually down in terms of absolute dollar basis for the first time in a while. Just wondering what causes -- I mean should we expect it to continue to decrease? And then kind of on the other hand, you talked about going direct, I think over Europe. Wondering if you need to add any sales force or infrastructure and does that lead up to a little bit of higher cost in the second half of the year?
Steve Quinlan: Yes. I guess, I would say as long as our sales on the animal safety side are sluggish or in this case declining, you would see related sales expenses would kind of follow along with that. Our goal is to stay positive. We want we want our sales and marketing expenses to grow right. That means our revenues are growing and all the related commissions and shipping, and advertising and promotional things, means the markets are growing and those are good things for us. We are -- for the distribution business in Europe, we have added staff to market those products there. I don't think it's going to have a material impact on our sales expenses in the second quarter because we're also using our existing sales force to go after that business.
John Adent: Kevin, we've got existing teams in a lot of those markets, they weren't allowed to sell those because it was an exclusive relationship, and now they're going to be able to. 
Kevin Ellich: Okay. And then lastly, John, your veterinary instruments and other business, both disposables and animal care, pretty weak this quarter. And I know you had a tough comp on the animal care side with vaccines. Just wondering what's going on there. And do you think that's going to continue -- will that continue to decline or should we see a reversal in the second half?
John Adent: I think -- got to go back and look, but I think we had pretty strong growth in those, last quarter.
Kevin Ellich: You did. Well, instruments was up 9% last quarter. 
John Adent: Yes. And so that’s the one that stuck out at me Kevin, is I'm wondering if there's a little bit of -- if you average the two, you're going to see it a little bit as a normalized to what those market is and it's -- it was kind of a little bit of timing and we are up one quarter, down on the other. I don't think there's anything fundamentally different going on other than it's a tough animal safety market.
Operator: [Operator Instructions]. And the next question comes from David Westenberg from Guggenheim Securities.
David Westenberg: So I'm glad to see that pick up in R&D, I think you guys can develop some good products. So, how should we expect on those new products to hit the market, is at fiscal year '21? I guess you said that we expect the spending to continue. And how bigger these -- the products that might be coming out in 2020 and should we expect a growth lift in our models to come then? 
John Adent: Sure, David. We're excited about the R&D, that's why we're doing it. I mean, you saw the ergot testing. That's the only one available for rapid testing today worldwide, we are the only one that has it. We're trying to stay ahead of some of the regulations. We think that's the position that we want to be in. That was driven by our European team. Our R&D group out of Europe did a fantastic job of taking that and driving that with the help of the group here in Lansing. And we're excited. We've got some new products coming on the second half of the year. Now, again, I’d love for all of them to be blockbuster. But we've got some new things from a technology standpoint that's coming and from a product offering that’s coming in the second half of the year, and then into next year. I don't know what -- I don't think we've ever talked about what we’ve forecasted for those other than that has always been a key piece of our growth. And we know that it needs to be and that's why we invest in it. And it’s something that we're focusing on to continue to drive growth in the second half of the year and next year. Steve, you want to …?
David Westenberg: So there’s essentially some product growth there. Okay. So then in terms of the alternative meat, I know stock price wise, they've been hit. Are you seeing an increase in demand from these producers of alternative meat? How do you see that business playing out as kind of a -- in terms of food producers as kind of a market let's just say? 
John Adent: Yes. David, I think it's just like any other segmentation. I mean if you remember one organics came on the market and everyone said that's niche and that's grown into a nice market. I think that plant-based proteins is going to continue to be a nice market. I think it's got consumers who want it. And as long as consumers want it, it’s going to continue to drive and grow. And what's interesting to me is, they have the same issues, whether they're making plant-based hamburger patties or meat-based hamburger patties. You still have to check for allergens. You still have to check for E. coli. You still have to check for Listeria. You still have to check for everything. So, whether it’s plant-based or meat-based, we sell the same products into those types of customers. And so, it's really around food production and anything around food production, that's where  we're there to help those producers make the safest product they can for their consumers.
David Westenberg: And then I know there is not a much you can say in terms of M&A here, but can you maybe talk about some of the priorities, whether it’s a technology or maybe a product, or is IT something of interest? And then maybe you can talk about what's more interesting, animal safety versus food safety. I get that you can't be specific, so any sort of generalities might be helpful here?
John Adent: Yes, I mean I think you've seen kind of what we've done on the technology side with Neogen Analytics and blockchain, right? This is something where we heard about it and we heard loud and clear from our customers that they're still keeping -- a lot of our customers still keep paper records for when the FDA comes in to do an audit to provide paper record keeping, which you just kind of shake your head and you think we ought to be able to help. So we got working with different outside groups and vetted, what we felt was the best plant mapping software and risk management software available, and partnered with them to develop Neogen Analytics. Same type of thing for blockchain, right, is I just read about this, I think it was, well, about six months ago McDonald's said that, in the future, and that was the timeline they gave, that half of their meat, beef was going to be antibiotic-free. Well, how are they going to be able to prove that without a blockchain solution? And really we're on the forefront. We're leading that today to be able to provide that type of transparency for customers and consumers. So the IT side continues to drive, I think you have to, it's -- if you just do tests and you don't give the customers ways to capture and analyze and then act on data, it's kind of a waste. So we're really pushing that. The other areas we look out to and you mentioned it properly is, where is a technology that we have a hold in the portfolio? So where should we be looking? Where is the market going? What are those types of technologies and we have a Scientific Advisory Council where we are constantly vetting new technologies and what's coming down the pipeline that we can -- it's either being done in another market on the human side that we can bring into our segmentation or it’s brand new. And we try to find those types of things and say, okay, how is this going to change the future or the way we do business. And then lastly, we look at geographic markets, where are we underrepresented? I think that kind of led this discussion, even with our European distributor was -- they did a good job for us, but they weren't growing at the rate that we wanted. They weren't happy with the growth rate, we weren't happy with the growth rate, and we came up with a solution that we think is going to help both parties grow because we were under-represented in specific markets. So where are we underrepresented and what are the things we can do to accelerate those growth rates? And that could be geographically, it could be by a product, it could be in a product segmentation. That's how we look at it.
Operator: At this time we have no further questions, I'd like to turn the call back over to Mr. Adent for closing remark.
John Adent: Thanks Sylvia. I just want to thank all of you for your time today and I wish everyone on the call and listening a happy holidays and a prosperous New Year. Thank you very much everyone.
Operator: Thank you ladies and gentlemen. This concludes conference. Thank you participating. You may now disconnect.